Operator: Good day, ladies and gentlemen, and welcome to our Third Quarter 2015 Mettler-Toledo International Earnings Conference Call. My name is Ronny and I will be your audio coordinator for today. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn our presentation over to our hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary T. Finnegan - Treasurer & Head-Investor Relations: Thanks, Ronny, and good evening, everyone. I'm Mary Finnegan. I'm the Treasurer and responsible for Investor Relations at Mettler-Toledo, and happy that you're joining us this evening. I'm joined by Olivier Filliol, our CEO; and Bill Donnelly, our Executive Vice President. I need to cover just a couple administrative matters. First, this call is being webcast and is available on our website. A copy of the press release and the presentation we'll refer to is also available on the website. On page 1, we have our Safe Harbor language, let me just summarize it quickly. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by a reference to the factors discussed under "Factors Affecting our Future Operating Results" and in the "Business and Management's Discussion & Analysis" in sections of our Form 10-K. Just one last item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between non-GAAP financial measures and the most directly comparable GAAP measure is provided in the 8-K. I'll now turn the call over to Olivier.
Olivier A. Filliol - President, Chief Executive Officer & Director: Thank you, Mary, and welcome to everyone on the call. I will start with a summary of the quarter, and then Bill will provide details on our financial results and guidance. I will then have some additional comments before we open the lines for Q&A. The highlights for the quarter are on page two of the presentation. We continue to execute very well. Spinnaker and field turbo programs are allowing us to leverage our strong product portfolio to gain share. The Americas have particular strong growth, and Europe came in as expected. We also had very good growth in certain emerging markets. However, these strong results are masked (2:55) by weak demand in BRC; that is Brazil, Russia and China. While our overall local currency sales growth was 3% in the quarter, excluding BRC, we achieved local currency sales growth of 7%, a level which reflect the above-market growth and one we are very pleased with. We also had excellent margin expansion in the quarter. Despite the challenging currency environment, we delivered 11% EPS growth, which equates to 16% before the estimated impact of currencies. We are pleased with these results, particularly given the headwinds from currency and BRC. Most importantly, our margin enhancement and productivity initiatives are allowing us to continue to make investments in field resources, which further position us for growth in 2016 and beyond. Now, let me turn it to Bill to cover the numbers.
William P. Donnelly - Head of Finance, Supply Chain and IT: Thanks, Olivier, and hello everybody. Sales were $604.2 million in the quarter, that's an increase of 3% in local currency. On a U.S. dollar basis, our sales decreased by 4% as currencies reduced sales by approximately 7% in the quarter. Now, turning to page three of the presentation, we outlined sales by geography. In the third quarter, local currency sales increased by 10% in the Americas, 1% in Europe, and declined by 1% in Asia/Rest of World. All of these are compared to the prior year. Overall, the BRC countries continue to underperform in the quarter and reduced sales growth by about 4%. BRC was specifically down 12% in the quarter with China down 9%, which is slightly better than we expected. Now, turning to the next slide, our year-to-date sales increased by 4% in local currency. By region, for the nine-month period, local currency sales increased by 7% in the Americas, 3% in Europe and 1% in Asia/Rest of World. Our growth excluding BRC is 8% year-to-date. Now please turn to slide number five. There we outlined sales growth by product line. Laboratory had growth of 7% in local currency. Industrial declined by 1%, while Food Retailing increased by 7% in the quarter. On a year-to-date basis, as shown on the next slide, Laboratory increased by 7% in local currency, Industrial was flat, and Food Retailing grew by 6%. Now turn to slide number 7 please. Let me walk you through the key items in the P&L. Gross margins were 56.2%, that's 160 basis point improvement over the prior year margin of 54.6%. We're very pleased that increase. Currencies contributed approximately 100 basis points to the increase and includes the benefit of the gain on the Swiss franc-euro hedges. In constant currency, our margins were up about 60 basis points. Pricing and material cost reductions further contributed to our margin improvement. These improvements were offset by our investments in our field service organization. Research and development expenses were $29.7 million, that's a 3% increase in local currency. SG&A was $175.5 million, that's a 1% increase in local currency and includes increased investment in our field service organization as well as some employee benefit costs offset by our cost savings program and lower variable compensation. Adjusted operating income was $134.3 million in the quarter, that's a 6% increase over the prior-year amount of $126.7 million. Currencies reduced operating profit by approximately $6 million. Excluding this headwind, our operating profit increased by 10% in the quarter. Our operating margins were 22.2%; that's an increase of 210 basis points over the prior year. Margins benefited by 70 basis points due to currency as the percentage impact on currency and the sales line was larger than the impact on operating profit. The core underlying margin improvement was a very strong 140 basis points. Our incremental OP margins reached 60% in the quarter on a constant currency basis, which is particularly impressive given the meaningful investments we're making via our field turbo program. Now, a couple of final comments on the P&L. Our amortization was $7.8 million, while our interest expense was $7 million in the quarter. Our effective tax rate continued to be at 24%. Fully diluted shares for the quarter were $28.1 million (sic) [28.1 million] (7:53); that's a 4.4% decline from the prior year, reflecting the impact of our share repurchase program. Adjusted EPS was $3.26 per share; that's an increase of 11% over the prior year amount of $2.95 per share. Excluding the impact of currency, adjusted EPS increased by 16% in the quarter. On a reported basis, EPS was $3.16 as compared to $2.89 per share in the prior year. Reported EPS includes $0.07 of restructuring charges and $0.03 of purchased intangible amortization. The next slide gives you our year-to-date results. Our local currency sales have increased by 4%, while gross margins are up by 190 bps. Currency benefits gross margin by approximately 100 basis points, resulting in a strong 90 basis point core improvement. Our operating profit increased by 6%, while adjusted EPS grew by 11%. Excluding currency, operating profit has increased by 10%, while our adjusted EPS has increased by 15%, both on a year-to-date basis. Now turning to cash flow. In the quarter, free cash flow was $107.1 million, or $3.81 per share. On a per-share basis, this is a 6% increase over the prior year amount. We had continued improvements in our DSO with 41 days, as compared to 42 days last year. Our ITO was 4.8. Year-to-date, our cash flow amounts to $238.4 million, and that's an increase of 6% on a per-share basis. Now let's turn to guidance. Forecasting continues to be very challenging particularly given the uncertainty in Brazil, Russia, and China. The timing of a recovery in these countries is uncertain. Another negative factor is currency, which continues to be a headwind to EPS growth for us in both Q4 as well as next year, but particularly the first half of next year. Offsetting these factors is our ability to execute. As you see in our year-to-date results, our various initiatives to drive share gain and expand margins are doing very well. We expect these trends to continue. With this as a backdrop, let me cover some specifics. We expect local currency sales growth in the fourth quarter to be approximately 2%. Based on this sales growth, we expect adjusted EPS to be in the range of $4.58 per share to $4.63 per share. Currency will reduce EPS growth by approximately 5% in the fourth quarter. Absent currencies, adjusted EPS growth in the fourth quarter is expected to be in the 13% to 14% range. Incorporating fourth quarter guidance, we would expect full-year local currency sales growth to be about 3%. Adjusted EPS for 2015 is expected to be in the range of $12.85 per share to $12.90 per share. Currencies are expected to reduce our full-year earnings growth by 5%. Absent the currency headwind, we have EPS growth of 15% in 2015. As we look to 2016, we expect market conditions in Brazil, Russia, and China to remain challenging, particularly in the early part of the year. We're not yet forecasting a recovery in these markets, hopefully some stabilization. Outside of these three countries, we expect sales growth to be solid. Our product pipeline looks strong and we continue to see tangible results from our Spinnaker sales and marketing and field turbo programs. We will also make further investments in our front-end resources in 2016. Taking all these factors together, we expect local currency sales growth to be in the 3% to 4% range in 2016. This should result in adjusted EPS in the range of $14.10 per share to $14.30 per share, which is a growth of 9% to 11%. We expect currency to reduce earnings next year by approximately 1.5%. Adjusting for this currency headwind and using the midpoint of guidance, this represents a growth of 10.5% to 12.5%. A couple of items, I think, are worth highlighting with respect to our guidance. First, our productivity and lean initiative programs are well on track and yielding very good results. This will allow us to make additional investments in front-end resources in 2016, while maintaining our expense base at a reasonable level. We're very pleased with our ability to make these important investments, which are helping to drive share gains. Olivier will have some additional comments on our field turbo program shortly. The second comment is currencies. We expect sales growth – with respect to sales growth, we expect currencies to reduce sales in Q4 by 6%, which result in an 8% reduction for the full year of 2015. In 2016, we expect currencies to reduce sales growth by about 1% for the full year. One other item related to currency. I already mentioned that we expect currency to reduce earnings per share growth in 2016 by approximately 1.5%. I want to point out that that headwind will be greater in the first half of the year as compared to the second half. I realize some of you are updating your models, and thought this would be worthwhile to point out. The third topic about next year is cash flow. We expect cash flow generation to continue to be solid and expect free cash flow per share to increase by 6% in 2016. This will result in a free cash flow amounting to $353 million. We expect to continue to make progress in working capital improvements, but will have higher capital expenditures in 2016 due to some manufacturing expansions we'll have underway. In terms of share repurchase, you saw in the press release that the board has authorized an increase in our authorization, as it will be exhausted shortly. And we would expect to repurchase shares of approximately $500 million in 2016. One final item with respect to guidance. Looking at the current quarterly consensus estimates for 2016, they reflect an adjusted EPS growth in the first half of more than 15%. Given our expectations for continued challenging market conditions in the BRC in the early part of the year, combined with greater currency headwinds in the first part of the year, I would not expect such a level of earnings growth. Similar to what we've done in the past, we'll update you on a quarterly basis with regard to our 2016 estimates. But I thought it was worthwhile to mention as you're updating your models. Okay. That's it for my side. And then I want to turn it back to Olivier.
Olivier A. Filliol - President, Chief Executive Officer & Director: Thanks, Bill. Let me start with summary comments on business conditions. Lab increased 7% in the quarter, with good growth in almost all product categories. We're executing quite well in our Laboratory business. The combination of strong product pipeline, Spinnaker sales and marketing initiatives, and our field turbo investments. Our Lab business does very well, and I expect results in the fourth quarter and into 2016 to continue to be solid. Industrial declined 1% in the quarter. Product inspection had growth of 3% and our outlook for this business continues to be very favorable. As we discussed last quarter in some detail, we are well-positioned in this business with strong relative market share, the most extensive product portfolio and the largest service network in the industry. We expect product inspection to have strong growth in the fourth quarter. And while they will face tougher comparisons as we get into 2016, I expect solid growth in 2016. Core industrial declined 3% in the third quarter. We had good growth in the Americas and decline in China. Europe was flat. We expect conditions in core industrial to remain challenging in fourth quarter and into first half of 2016, principally due to China. We may see some growth in later part of next year as we will benefit from easier comparisons. Finally, retail was up 7% in the quarter with particular good growth in the Americas due to project activity. Retail will be down in the fourth quarter due to timing of activity and I would expect moderate growth in 2016. Now let me make some additional comments by geography. As mentioned earlier, Europe sales growth came in as expected. We had growth in Western Europe and most Eastern European countries outside of Russian-centric countries. We do not expect much growth in fourth quarter due to prior year's comparisons, but expect to continue to execute well and further capitalize on our Spinnaker sales and marketing initiatives, field turbo investments, and strong product pipeline in this region. We expect moderate growth in 2016 in Europe. Americas had an excellent quarter with sales growth of 10%. We had good growth in all product lines. While I don't expect another 10% growth quarter, our outlook for Americas is good. Asia/Rest of the World decreased 1% in the quarter and increased 9% excluding China. As Bill mentioned, China declined 9% in the quarter. We had growth in our Laboratory business in China, while Industrial was down 18%. I would expect Industrial in China to be down at similar level in the fourth quarter. Looking to 2016, we expect sales will decline but not to the level we saw in this year. Outside China, in the third quarter, we had very good growth in Australia and Korea, and good growth in India and Southeast Asia. We expect market conditions in Asia outside of China to remain solid for the remainder of this year and into 2016. Service had good growth in the quarter with local currency revenue up 5% as compared to prior year. We had good growth in all geographic regions and in most product lines. Let me update you on our field turbo program. We are very pleased with our progress and results to-date. The growth opportunities we identified are yielding tangible results, and the additional field resources are allowing greater attention and focus to our high priority accounts. At the same time, we are executing very well on our productivity and cost initiatives throughout the organization. These initiatives focused on lean manufacturing and values (19:45) productivity enhancement programs, which allow us to continue our field resource investments in 2016. We have identified targeted growth opportunities and will make a portion of the investments early in the year with additional investing as the year progresses, assuming market conditions remain favorable. Despite the challenging market conditions, we are executing very well, which is allowing us to make these front-end investments, which position us well for future growth. That is about all I want to cover on this topic. One additional update I want to provide today is on the Process Analytics business which has a great track record for technology innovation and sophisticated marketing. It has a sizable percentage of its revenue from consumables and services, approximately 40%, and has achieved above-market growth for numerous years. It represents a little less than 10% of total sales and I wanted to update you on some recent developments. Process Analytics provides in-line and real-time measurement of key analytical parameters for industrial liquids which helps pharma, biotech, and chemical companies monitor and optimize their production processes. While the total market is large, we are leader for pH, TOC, conductivity and dissolved oxygen measurements in niche (21:14) applications including ultrapure water monitoring. Our solutions combine sensor technologies with transmitters to measure specific analytical parameters. The sensors must be calibrated, maintained, and replaced on a timely basis, which creates an attractive consumable stream. We are highly regarded as the technology leader due to our unique sensor design, and our Intelligent Sensor Management software. We have the most complete product offering and most extensive field force of our direct competitors. We're also cost effective in terms of manufacturing with the vast majority of transmitters produced in China. We have recently expanded our reach with an entry into gas analytics through a unique laser-based sensor technology. This technology combined with our deep knowledge of industrial processes offers cost-effective in situ installations and chemical process applications for existing customers. We're adding gas capabilities as well as unique installation solutions to complement our product range. Power generation is another expansion market for Process Analytics. We have extended our offering for this attractive market including multi-point transmitters, conductivity, TOC and optical dissolved oxygen sensors as well as panel mount analyzer solutions for monitoring of power plant water quality. Extensive targeted marketing campaigns to end-users and panel fabricators in power and chemical markets are driving good results. We are also having success with the expansion of our TOC, or total organic carbon, portfolio. TOC is an important to ensure the integrity of ultrapure water and is especially important to regulated industries such as pharma and biotech. We now have solutions in the valued mid-tier and high-end of the TOC market. We've added a portable version as quality engineers continue to gain acceptance of online analytical measurements in pharma. In the coming weeks, we will launch a VIS (23:37) verification system, which leverages our TOC and conductivity expertise to broaden our applications in pharma. Finally, we recently completed a small technology acquisition, which further enhances our expertise in ultrapure water analysis. We will now have a laser-based technology that can detect bacteria in real-time which makes us the only company to offer all three regulated ultrapure water measurements: conductivity, TOC, and bacteria. It is sold to the same pharma customers as our TOC offering, and the ability of customers to analyze bacterial contamination in real-time is a game-changer. We have seen a similar development in TOC where the alternative is to take samples offline and analyze in the lab, with meaningful time differentials. For bacteria measurements, this time differential is typically five days to seven days, which offer significant cost savings opportunities for our customers. I have covered a lot of the technology developments within Process Analytics but want to remind you that this business was the incubator for our Spinnaker methodology for sales and marketing initiatives. Process Analytics continues to make great progress in furthering their marketing and lead generation campaigns. This marketing focus combined with additional field turbo resources and excellent product portfolio is contributing to nice share gains for this business. Let me make some concluding comments and then open it up for questions. We remain cautious on China, Brazil, and Russia, as market conditions are challenging and the turnaround is not yet visible. We are working to protect margins in these countries and ensure resources are targeted to long-term growth opportunities. Our other (25:34) businesses, which encompass (25:35) more than 80% of total sales, are performing quite well. Market demand is solid, and we are leveraging our excellent product pipeline, strong sales and marketing programs, and investment in field resources to gain share. Our margin enhancement and productivity initiatives are well on track and allow us to make the additional investments in field resources, despite weakness in China, Brazil, and Russia and negative currency headwinds on operating profit and earnings. I want to now ask the operator to open the line for questions.
Operator: And your first question comes from the line of Brandon Couillard with Jefferies.
Brandon Couillard - Jefferies LLC: Hey. Thanks. Good afternoon.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hey, Brandon.
Brandon Couillard - Jefferies LLC: Bill or Olivier, just curious, if you could elaborate on some of the productivity and lean initiatives that you plan to tackle next year. Just in more detail give us a few examples. And just how much runway do you see on that front to be able to still fund growth investments elsewhere in the business?
Olivier A. Filliol - President, Chief Executive Officer & Director: So, let me say that we have these programs in place now for quite a while and there's a continuation of what we have been doing already this year. And we have lean initiatives on factory floor, where we are optimizing layouts, where we are optimizing planning processes, and we are optimizing the logistics parts between suppliers and ourselves, but also at the logistics part between the different factories. These all helped us to expand the margins. And on top of that, we always have selective restructuring projects that are helping us. For example, last year we consolidated a plant in the U.S. and there is certainly also things that we continue to do in terms of leveraging low-cost countries. We have moved one product category actually to low-end part of that product category from Switzerland to China that will help us also next year. So these are continuous things that we do, sometimes project specific and sometimes just global initiatives. And then, of course, we continue also to do things on the supply chain management, optimizing our logistics (28:26), optimizing very much our purchasing, we have a very good material price index and I expect this to go on also next year.
William P. Donnelly - Head of Finance, Supply Chain and IT: Maybe I'd add to what Olivier said, Brandon, that one of the things we're leveraging more with Blue Ocean is that having most of our plants now on the Blue Ocean system allows us to have kind of common measures and KPIs around productivity, things that get measured and get done, so we are able to drive productivity improvements in kind of solving to the best-in-class standards within the group. And then I would add on top of that that – and these are now more back office costs, we see opportunities for shared service centers. We've certainly done some of our initial shared service centers coming out of Blue Ocean but we see continued opportunities there. In general, we gain productivity, let's say, 10% or 15% when we do a shared service center just within the Western world and more than that then if we can we go to a low-cost country. And those should be good runways. We actually had a review together with the rest of GMC colleagues this week as part of our GMC meetings and one of the comments I made to the guys kind of relates to a question investors often asked me, ask of me and that's how much more opportunity do we have. The whole review of this productivity and shared service center activities, I drew the conclusion preparing for that that we still have a long runway to go. We have a lot of good ideas to continue to enhance our margins in the coming years.
Brandon Couillard - Jefferies LLC: Thanks. That's helpful. And then one more for you, Bill. Two things. Could you – what have you baked in for net pricing next year and then, what does your EPS outlook contemplate for local currency incremental margin?
William P. Donnelly - Head of Finance, Supply Chain and IT: So, in the first question, we're building in, I think, about 150 basis points, based on what we see today. In terms of the incremental margins, they're going to be in the mid-40%s on a constant currency basis.
Brandon Couillard - Jefferies LLC: Thank you.
William P. Donnelly - Head of Finance, Supply Chain and IT: Operator, do we have other questions?
Operator: We do. Your next question comes from the line of Richard Eastman with Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Yes. Good afternoon.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hey, Rick.
Olivier A. Filliol - President, Chief Executive Officer & Director: Hi.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Olivier, could you expand just a little bit on the strength in the Lab business? Really just kind of speaking maybe a little bit to the verticals – pharmaceutical, food, just maybe where the strength was, and are there any laggards in the verticals there?
Olivier A. Filliol - President, Chief Executive Officer & Director: Actually, absent of the BRC, I would say, we experienced a good growth across all product lines and actually, also across this end user segment. I think there's really good momentum. And I attribute that certainly that demand is healthy, but then the programs that we have in place are actually relatively broad-based and yield good results. So I wouldn't single out here a particular segment. If I look at the U.S. market, it has been really broad-based. And typically, when we are – when we have good results across all the product lines, that's a signal that it's not a segment-specific topic.
William P. Donnelly - Head of Finance, Supply Chain and IT: Maybe the one area would be, some of the Lab side, in particular life sciences, look good.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, okay. And then, Bill, just on the gross margin, just kind of looking at the drivers on the incrementals quarter-to-quarter, and it was pretty substantial, 75% kind of gross margin incremental from Q2 to Q3. Is that – I'm just going to surmise that that might be a mix issue, with Lab as strong as it was. But is there a way that you could give us a feel for that?
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah. Hey. I think, Rick, this is probably like a classic. You're looking at it may be slightly different than how we look at it. Actually, the way we look at it, it's always Q3 on Q3, Q2 on Q2. And if I look in Q2, actually, our year-on-year margin expansion was a little bit less in Q3 than it was on a year-to-date basis. I think the absolute sales volume is partly explaining that. If I look at the growth comparisons, Q – the two-year growth rates are maybe relatively similar, maybe slightly more in Q3, which could contribute a little bit to what you're talking about. But I...
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay.
William P. Donnelly - Head of Finance, Supply Chain and IT: I, overall, would say, on a constant currency basis, the margins were very good. Good expansion in Q3, but probably a little less than what we had seen earlier in the year.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, okay. Fair enough. And then just one last question, I mean given the outlook in China, certainly for China industrial and maybe the trailing performance there, no quick fix there from an end market perspective when you're talking about the Industrial business, and potentially a pretty long cycle downturn here. But is any of your restructuring actions targeted at China? We've talked about moving assets around a little bit, but what are you doing with the asset base on the industrial side in China? Is that stable? Are you taking that down or...?
Olivier A. Filliol - President, Chief Executive Officer & Director: We have been working on resource shifting in China for quite a while. And when I say resource shifting, there is parts of restructuring, head count adjustments, reflecting the pockets of future growth that we are anticipating. So, we are adjusting. We are assessing kind of the difficulty that we have in Industrial business, and you would have seen us, already in the last couple of months, still adding people, for example, for Laboratory business and for certain territories that we see a good future prospect. As for Industrial, we have been reducing head count. So, we are proactive on that. We have started last year, and this is still ongoing.
William P. Donnelly - Head of Finance, Supply Chain and IT: Rick, maybe one – because you used the word asset. And in terms of thinking about plants, maybe the one thing I'd remind you too is, we have our manufacturing for the Chinese domestic business, which clearly has been hurt on the Industrial side. But we continue to leverage those factories in terms of moving new products there and so things that were previously manufactured in the West. So the picture, inclusive of intercompany sales, would maybe show a better leveraging that you might expect just looking at the Industrial piece of the business. I would add to that that we see some facility consolidation opportunities in China, because we didn't own all of our office space. We have some office space and things we can take advantage of there – rental spaces.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, okay. Very good. And again, given your primary global competition on the Lab side, probably more than Industrial, do you have a sense of – I mean, is more of your product sold in China manufactured in China vis-à-vis, say, Sartorius on the Lab side? Do you have a sense of that?
Olivier A. Filliol - President, Chief Executive Officer & Director: I would say, in general, I think, of all of our competitors, we are very advanced in leveraging low-cost countries. And, in that sense, China as a production base is certainly significantly larger for us than for our key competitors.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): I see. Okay. Very good. Thank you. Thank you much.
Olivier A. Filliol - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Steve Willoughby with Cleveland Research.
Steve B. Willoughby - Cleveland Research Co. LLC: Hi. Good evening. A couple of quick questions for you guys. First, you made a comment about some lower variable comp here. Was that for the third quarter? And if so, why did that happen?
William P. Donnelly - Head of Finance, Supply Chain and IT: Because a year ago we raised our bonus achievement expectations in Q3 a year ago. This year, we have about the same expectation as we did a quarter ago.
Steve B. Willoughby - Cleveland Research Co. LLC: Okay. That makes sense. And then, Bill, is there any way to sort of quantifying the impact from field turbo? As of yet, I know it's still rolling out and you guys are expanding, but is there any way to quantify the revenue contribution or anything like that?
William P. Donnelly - Head of Finance, Supply Chain and IT: We struggle to be precise there because, of course, we're often – the field turbos can often be splitting territories and things like that. I think, for us, the – what's that expression about the pudding – sorry, the proof in the pudding is the growth in non-BRC. I think given global economic, we just don't think our markets are growing that fast. It very much – the outsized growth very much ties to geographies and product categories where we've made field turbo investment. So, I think, our success is in those markets is very much explained by the investments we made in 2015, but as well the ones we started in 2014.
Steve B. Willoughby - Cleveland Research Co. LLC: Okay. And then just one follow up on that then. Even in the BRC markets, is there a way to gauge how you're comparing, your growth compares to what you would consider the market would be? Are you seeing – even though the business is declining, would you say you're seeing the similar type of kind of outperformance versus the market?
William P. Donnelly - Head of Finance, Supply Chain and IT: So, hey, let's maybe exclude Brazil and Russia that we're talking in those two cases, $30 million, $40 million of sales spread across 20 product categories. So it would be wrong for me to imply we have that level of visibility vis-à-vis competition because you're talking about really small slices. In the case in China, we certainly listen to what direct competitors that would have conference calls, i.e. – e.g. or i.e., Sartorius. And we feel good about what they do as well as our local market intelligence. We see on the industrial side, a couple of our industrial competitors have gone away in China. So we think we do reasonably well on a competitive basis there as well. And – yes.
Steve B. Willoughby - Cleveland Research Co. LLC: Okay. Thanks for all the color, Bill.
Operator: Your next question comes from the line of Ross Muken with Evercore ISI.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hey, Ross.
Ross Muken - Evercore ISI: I was just hoping that you could go through your expectations for margins in 2016, if you can give us like your idea what the pacing is going to be like, what the core expansion and any FX impacts you guys are expecting?
William P. Donnelly - Head of Finance, Supply Chain and IT: So, first of all, maybe we are – if you pick the – we're saying 3% to 4% top line growth with about a 1% impact due to currency with that weighted towards the first part of the year. So a little more than 2% headwind in the first quarter and about 2% in the second and about 1% in Q3 and flat in Q4. Our margin expansion should be pretty well paced with maybe the fourth quarter being slightly more than the earlier quarters. But, overall for 2016, we're looking at 50 bps. And then in terms of our incremental operating margins, we're looking at a number in the mid-40%s for the full year. And if I kind of look at the pieces, the only one that – only quarter we don't see a number in that kind of range would be a little less than that in the second quarter. And that has to do with year-end (41:49) mix topics as well as some currency topics.
Ross Muken - Evercore ISI: Thanks. That was really helpful. I'll just hop in the queue.
William P. Donnelly - Head of Finance, Supply Chain and IT: Thank you.
Operator: Your next question comes from the line of Derik DeBruin with Bank of America ML.
Derik De Bruin - Bank of America Merrill Lynch: Hi. Hello. Good afternoon. Thank you for the call. So, China came in a little bit better than expected at – declining only 9% versus the 22% declines that we saw in the last two quarters. I was wondering if you could just share with us some of the dynamics as that improved in China.
William P. Donnelly - Head of Finance, Supply Chain and IT: So – and maybe the first comment just to clarify some things. So our Industrial business was down in the low-20%s in China. Earlier in the year, it was down a little less than that in the high-teens. And, correspondingly, our overall business in China was down a little bit – 2% less this quarter than it was last quarter. You can see that if we're down high-teens in Industrial, but only down 9% overall, that reflects growth in areas like our Laboratory business largely. So in terms of the areas of our Laboratory business, it's – I think, overall, we have pretty solid growth. Probably the only area we didn't have good growth in Lab was AutoChem and frankly that's driven by – we're up (43:33) 135% a year ago in Lab in AutoChem. So we feel that that business – the Lab side goes reasonably well. I think I largely answered your question.
Derik De Bruin - Bank of America Merrill Lynch: Yes, you did. Thank you.
William P. Donnelly - Head of Finance, Supply Chain and IT: Thank you.
Operator: Your next question comes from the line of Tycho Peterson with JPMorgan.
Tycho W. Peterson - JPMorgan Securities LLC: Hey. Thanks. Olivier, can you maybe just give a little bit more color on growth by segment expectations on 2016. If you're going to get to 4% local currency or better on the top line, best case, would that be driven more by Lab or where do you see the strong factors (44:15)?
Olivier A. Filliol - President, Chief Executive Officer & Director: Let me have Bill comment, because of course we model that thing.
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah. So – hey, we – Tycho – first hello, Tycho. And we should be doing mid-singles in our Laboratory business. We have, relatively speaking, a somewhat tougher comp in Q1, but the rest of the quarters should be all kind of in that range. Our PI business, product inspection, will continue to do well. We should get high-single-digit growth out of that. Our Industrial business will probably be flattish. We would expect China to again be down in Industrial, but we'll have some growth in the other parts of the world. And I would guess that that will be a little bit better in the second half of the year than the first half of the year largely due to comps in China. And, hey, our retail business is lumpy due to large projects but we're not building in a lot of growth overall, maybe a low-single-digit growth for that business.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then the bacterial contamination business that you picked up, how large is the opportunity? I mean it seems like it could be a pretty large for pharma.
Olivier A. Filliol - President, Chief Executive Officer & Director: So, we bought mainly a technology here that we are now improving and then bringing to the market. As always when you launch a product with the new technology, it's going to take a while until customers will really adapt to it especially because you need to address your quality systems, you need to address standard operating procedures and so on. So, while in the long-term we see it as a very nice product category very similar to the TOC, we do expect that it's going to take a couple of years. But as mentioned also in the prepared remarks, it's very synergistic and we feel we have a really great customer access, we have the right team. And so from a competitive standpoint, we feel like we have a really unique position here to leverage.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then last one, capital deployment. It was good to see the buyback step-up, maybe just if you could comment on what you're seeing from an M&A perspective, given the market volatility, are you looking at more opportunities and any appetite to do something a little bit larger and some of the smaller bolt-ons?
Olivier A. Filliol - President, Chief Executive Officer & Director: M&A strategy really remains – I'm very confident on that. As a reminder, we feel that from a strategic standpoint, there is no need at all for us to do something big. But we are very committed and very interested in doing these bolt-on acquisitions because we feel we can have a franchise that we can really leverage, if we have synergistic technology or if there are opportunities to develop a certain market access. So very committed to that, constantly looking at opportunities. We have our own radar (47:27) with a lot of targets on it. But many of these cases are not available or don't materialize in the time lines we want (47:39). I think this recent technology acquisition that we did is a perfect example of how we are committed, and we are doing these cases. When you refer to bigger deals, hey, it's not – we don't say no to it. But there are not that many targets out there that would really fit the franchise. And in essence, I'm not expecting just around the corner something big.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Thank you.
Olivier A. Filliol - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Paul Knight with Janney Montgomery Scott.
William March - Janney Montgomery Scott LLC: Hi, guys. This is actually Bill March on behalf of Paul. How are you guys doing tonight?
William P. Donnelly - Head of Finance, Supply Chain and IT: Good. How are you, sir?
William March - Janney Montgomery Scott LLC: Doing well. I was just hoping you could speak to maybe the potential for growth in the Food Retail segment just in light of the potential Food Safety Modernization rules coming online.
William P. Donnelly - Head of Finance, Supply Chain and IT: So, maybe to clarify a little, the Food Safety Modernization Act has more impact for us in our product inspection business, and I would describe it as kind of an indirect impact. There is already – the principal driver of our product inspection business relates to brand protection and food safety topics. We certainly view the act as positive but for most of the guys, this is a little bit catch-up for maybe 20% of the market and probably 80% of that was largely covered already in people standard practices. The Food Retailing business itself won't really have any impact due to this.
William March - Janney Montgomery Scott LLC: Great. Thank you. And then maybe just to follow up on China in terms of kind of Lab. What are you seeing maybe between the first half and the second half of the year in terms of – has there been a pickup in spending? And if so, if you think that continues into 2016? Thank you.
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah. I talk – maybe could I clarify your question? You were asking about Lab in China and...
William March - Janney Montgomery Scott LLC: Correct.
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah. Okay. Sorry. So our Chinese business, PI (50:05), the first quarter was our strongest quarter of the year. We would have grown a little more the last couple of quarters, except for some tough comps on our AutoChem business. But we see no reason we can't grow high-single-digits in our Lab business, based on what I see out there.
William March - Janney Montgomery Scott LLC: Great. Thank you.
Operator: And your next question comes from the line of Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs & Co.: Hey, good afternoon. Thank you. Bill, just wondering if you could maybe give us an update on pricing. I think it's obviously been a successful area for you year-to-date. But could you maybe give us a year-to-date view on what that's been, and maybe what's embedded in your guidance for next year? Thank you.
William P. Donnelly - Head of Finance, Supply Chain and IT: So, on a year-to-date basis, we're up approximately 200 basis points. Very much the Lab business leading the way there, with numbers actually north of that, and our Industrial business is somehow being somewhat laggards to that. And Retail, we struggle to have global price realization in the Retail business. In terms of next year, I think that we should be able to get something in the 150 basis point range. If you're wondering why a little bit less, we did make some extra moves this year, particularly driven in countries where we wanted to push through a little bit of extra pricing because of the strong dollar. So, for example, in places like Southeast Asia, we pushed through a little bit extra price increases there, to try to make up for some of the currency impacts.
Isaac Ro - Goldman Sachs & Co.: Great. And then, maybe a second question would be just sort of, on the China point, you guys have put a lot of color on that, I appreciate. But wondering if you could maybe talk a little bit more about which end markets were, maybe not the weakest, but maybe the strongest. I'm just kind of curious, within that 9% number, how wide the range is between your various either end markets or product areas, because I have to imagine there are some bright spots, but curious about the dispersion on what you're seeing in China. Thank you.
William P. Donnelly - Head of Finance, Supply Chain and IT: Sure. So, hey, I would describe, first of all, a bright spot would be the Lab business overall and, of course, our Lab business maybe has a slightly different mix than some of the other guys. We have a little bit less healthcare, a little bit more industrial, within our product portfolio. But, overall, as mentioned, I think, kind of pulling out the impact of some large AutoChem orders last year, we think that that can be a high-single-digit business in the coming quarters. If I look at other parts of the portfolio, actually, Retail would be an area that's been growing there. And, of course, that's being driven by the increasing GDP per capita increasing consumer spending. Our Industrial businesses continue to be weak overall, but we do see pockets of growth there in some specific product categories where we're, I think, trying to push product categories. But, hey, probably they're small enough that it's not so helpful for us to mention at this point.
Isaac Ro - Goldman Sachs & Co.: Understood. Thanks for all the color. I appreciate it.
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah.
Operator: Your next question comes from the line of Jason Rodgers with Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: Hello, everyone.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hi, Jason.
Jason A. Rodgers - Great Lakes Review: Looking at your forecast for 2016, what is your assumption on material costs?
William P. Donnelly - Head of Finance, Supply Chain and IT: So, material costs should be down, let's say, somewhere in the 1% range to 1.5% range. And you can kind of multiply that number by 0.3 or 0.4 to get a sense for what kind of impact that would have on the gross profit margin.
Jason A. Rodgers - Great Lakes Review: And then, looking at China overall, did you say it was going to be off around 9% in the fourth quarter, or is that just the Industrial side?
William P. Donnelly - Head of Finance, Supply Chain and IT: I think I'd like to give it a range. But I would certainly say high-single-digits.
Jason A. Rodgers - Great Lakes Review: And then how about 2016?
William P. Donnelly - Head of Finance, Supply Chain and IT: 2016, it's got to do better than that. If you look at our Industrial business, we would expect the levels of decline are still large, that it's got to take a few more quarters to stabilize that business. So I think the beginning of the year, you'll continue to see declines in our Chinese business overall, whether we get to a flat business or a modest growth business in the second half of the year, I'm not quite sure yet.
Jason A. Rodgers - Great Lakes Review: And then, looking at the percentage of your products manufactured in China, you expect that to change materially next year?
William P. Donnelly - Head of Finance, Supply Chain and IT: No, not – definitely not materially, because we have, to a certain extent, that – because such a high percentage of our Chinese business is Chinese manufactured products, clearly that piece will, again, at least, decline in the first half of the year. And we have, of course, always every year, a handful of products that we're transferring there ,or activities that we're transferring there. But I wouldn't expect the overall percentage to move materially.
Jason A. Rodgers - Great Lakes Review: And then finally, what was the number of shares repurchased in the quarter?
William P. Donnelly - Head of Finance, Supply Chain and IT: Just give me a second here. So, we repurchased 390,548 shares.
Jason A. Rodgers - Great Lakes Review: Thank you very much
William P. Donnelly - Head of Finance, Supply Chain and IT: Sure.
Operator: Your next question comes from the line of Steve Beuchaw with Morgan Stanley.
Michael Clerico - Morgan Stanley & Co. LLC: Good evening. It's actually Michael Clerico on for Steve. You drove some good acceleration in the Americas sequentially this quarter. So I'm just wondering what's behind that growth rate and, more specifically, are you seeing any drag from weaker industrial trends, specifically in the U.S.?
William P. Donnelly - Head of Finance, Supply Chain and IT: Yeah. So, in terms of our Industrial business overall, I think the Q3 is in line with our kind of year-to-date numbers. And we would expect to have maybe some slowing in some of core industrial areas but maybe some acceleration in terms of our food safety, product inspection related businesses. Our Lab businesses in the Americas did very well in the quarter and we expect continued good performance in the fourth quarter as well.
Michael Clerico - Morgan Stanley & Co. LLC: Okay. Second question, it seems like field turbo is going well, any updated thoughts on deploying a second wave of reps? And also could you give us an idea of how long it will take the current wave to be fully ramped up in terms of productivity?
Olivier A. Filliol - President, Chief Executive Officer & Director: So, this year, we added about 200 field resources. This typically I do – they take a few quarters to ramp-up in terms of the first quarter you have training, onboarding, that's one. And then it takes them a few quarters to build up the pipeline. I would say, after two years, they should actually be really profitable contributing to the overall situation. And we prioritized, of course, on product categories that have the highest profitability. And so, we have both (58:30) group average contribution. For next year, I expect if things continue to go as expected in terms of market demand, to add about the same amount as we did this year.
Michael Clerico - Morgan Stanley & Co. LLC: Okay. Great. Thanks, guys.
Operator: And your next question comes from the line of Jonathan Groberg with UBS.
Jonathan Groberg - UBS Securities LLC: Hey, guys. I'll just follow up with you offline. Thanks.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hey, Jon. You're on the line.
Jonathan Groberg - UBS Securities LLC: Hey. Can you hear me? I said (59:17) I'll just follow up with you guys offline. Thanks.
William P. Donnelly - Head of Finance, Supply Chain and IT: Okay. Thank you.
Operator: Your next question comes from the line of Richard Eastman with Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Is this bacterial contamination detection technology that you purchased, is there any application or cross application there with your product inspection business?
Olivier A. Filliol - President, Chief Executive Officer & Director: No. The application points (59:56) are very different. This is really pure water analytics – totally different. The synergy is, with our (60:07) business that you might know, particularly related to TOC and conductivity measurements. These are the three measurement points that you would find in ultrapure water. For example, an application is Water for Injection. And when you have Water for Injection in pharma, you need to be USP compliant and that's the parameters that are relevant here.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay. I was hoping you'd say yes. And it seems to be a big opportunity in bacterial detection on the food side. But maybe that's still to come. And then, Olivier, I was always so curious, during the third quarter, we had noticed kind of a flurry of new product introductions from old house (61:04). And I'm curious maybe that not atypical, but is there any strategic rationale for that? Was there any window open on the U.S. dollar creating any opportunities or any soft spot in the competition that worked (61:22)?
Olivier A. Filliol - President, Chief Executive Officer & Director: No, you shouldn't read anything into it. This...
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, okay.
Olivier A. Filliol - President, Chief Executive Officer & Director: It wasn't unusual for us at all.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay.
Olivier A. Filliol - President, Chief Executive Officer & Director: We have a certain strategy to expand the product portfolio in terms of leveraging the access to the channel for life science applications and so on. But that's something we have been doing over a couple of years and what you have seen more recently was actually product launches for Retail, Industrial as well as for the Lab product (61:56).
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Yeah. And then – and there's no bump in your Lab growth? That wasn't big enough, any channel fills since that goes through distribution?
Olivier A. Filliol - President, Chief Executive Officer & Director: No. And certainly not related to old house. No, (62:11) I don't...
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, okay.
Olivier A. Filliol - President, Chief Executive Officer & Director: Everything kind of as usual.
Richard C. Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, great. Thank you.
Operator: Your next question comes from the line of Dan Arias with Citigroup.
William P. Donnelly - Head of Finance, Supply Chain and IT: Hi.
Daniel Arias - Citigroup Global Markets, Inc. (Broker): Good afternoon, guys. Thanks. Bill, maybe just one for me and apologies if you've touched on it when I drop off the line there, but on the outlook for next year, what are you assuming in terms of the payout from some of the efforts that you have going on in service, increasing the attach rate on service contracts et cetera? Is that something that's sort of built into guidance or is that more of the "upside case" so to speak?
William P. Donnelly - Head of Finance, Supply Chain and IT: We built in some additional service growth over product growth and maybe that will be short answer, Dan.
Daniel Arias - Citigroup Global Markets, Inc. (Broker): Got it. Okay. Thanks very much.
William P. Donnelly - Head of Finance, Supply Chain and IT: Have a good one.
Operator: And there are no more questions at this time.
Mary T. Finnegan - Treasurer & Head-Investor Relations: Thanks, Ronny, and, hey, thanks, everyone, for joining us tonight. Of course, as usual, if you have any questions, please don't hesitate to give us a call or send us an e-mail. Take care. Thanks everybody.
Operator: This does conclude today's conference call. You may now disconnect.